Ann-Sofie Nordh: Greetings to all, and nice to connect again, as I welcome you to the presentation of ABB's Third Quarter Results. I'm Ann-Sofie Nordh, Head of Investor Relations. And next to me here is our CEO, Bjorn Rosengren, and our CFO, Timo Ihamuotila. They will as usual take you through the presentation before we open up for the Q&A session. But before we begin, I should mention the information regarding Safe Harbor notices and our use of non-GAAP measures on Slide 2 of the presentation. Also this call will include forward-looking statements which are based on the company's current expectations and certain assumptions and are, therefore, subject to certain risks and uncertainties. And with that said, I will hand over to Bjorn and Timo later on for their quarterly comments.
Bjorn Rosengren: Thank you, Ann-Sofie, and a warm welcome from me as well. I have to say, I'm very pleased with our performance this quarter. Operation numbers show strength and verifies that ABB is moving in the right direction, even faster than we originally had anticipated. You have probably already figured out that I'm very happy about the high margins of 16.6%. It looks like we likely will reach our margin targets one year early. But I'm also pleased that we executed on our promises of portfolio management. In my view, today's result is a good indication that we are improving operational performance through our new way of working, accountability, transparency, and speed. To me, some proof points are our strong and broad price execution. The record high margin, we have made division lead acquisitions, we divested noncore operations, and we completed the spin-off of Accelleron. In short, we are making ABB a more focused and well performing company with focus on being a technology leader in electrification and automation. That said, we still have a couple of matters that needs to be resolved. One such item is the legacy Kusile project. We now booked a provision related to this, which impacted EPS performance in the quarter. We feel confident that there will not be any additional material provisions related to these matters. I will come back to this a little bit later. Before we move on, I want to comment on E-mobility. We have said that we want to list part of this company. And we remain committed to this. But given the high volatility in the capital markets, we do not see it happening this year. We follow the market development closely and we'll come back when we feel circumstances are right. Now let's look more closely at orders and revenues on Slide 4. In our results, FX, especially the continued strengthening of the dollar was a big negative swing factor of 9% to 10% when you compare our reported orders and revenues with the organic development. But looking beyond that, we had another strong growth quarter with comparable orders up 16%. We saw a stable to positive development in most customer segments. Easing of component constraints will shorten delivery lead times, which should trigger a normalizing of the order pattern. Still, it was another strong quarter for orders. It was actually the seventh consecutive period with a book-to-bill ratio above 1. And our order backlog remains on the record high-level. Looking at the revenue chart on the slide. You see that this was one of the strongest quarters comparable growth of 18% with a positive development in all business areas. This reflects a strong price contribution. But I was also pleased to finally see volumes released to a greater extent than in the previous quarters. Deliveries were held by better availability of electrical components. Another positive was that our China's business faced less business disruptions from COVID lockdowns. Now let's take a quick look at the different regions. Both Americas and Europe improved by 20% or more. They clearly outpaced the 4% growth in AMEA. In Americas, the important U.S market increased by 29% on a strong development across most segments. In Europe, orders increased in most of the major markets. In the AMEA region, China declined by 2%. Three of our businesses areas saw a lower orders in China with only Motion in positive territory. Let's turn to Slide 6, and our earnings outcomes. Gross margin is important. And I was pleased to see an improvement of 90 basis points to 33.5%. The high volumes clearly helped, but also very good price execution of close to 7% for the Group. We increased operational EBITA by 16%. But the underlying improvement was even stronger. If we exclude the negative FX, earnings were actually up by 27%. I already mentioned the strong margin of 16.6%. We achieved this through an impact from high volumes, good operational performance, and well executed price management. We are clearly becoming more efficient. I mentioned the Kusile project earlier. As a reminder, this is the legacy project dating back to 2015. And we are now finally resolving the remaining matters of this topic. This triggered a nonoperational provision of $325 million in the quarter. So on the back of this charge, despite our strong operational performance, EPS declined from last year. We feel confident that there will be no -- not any more additional material provision related to these matters. Since the Kusile case was reported, ABB has spent considerable time and efforts including launching a new code of conduct, educating employees and implementing control system to prevent something similar to happen again. It is very important that our stakeholders feel confident in ABB and our business. With that, I hand over to Tim.
Timo Ihamuotila: Thank you, Bjorn, and greetings to everyone also from my side. First I want to connect to Bjorn's Kusile comment. Once this is resolved, I would say that besides the one noncore item of max $100 million of risk, which we have mentioned to you already before, we are now in normal course of business. Fundamentally changing ABB's risk profile has been a painful journey during past years. Now, we are pretty much done. We have a strong balance sheet, we have a net positive pension position, and we have not been doing [indiscernible] business in a while and it is not coming back. So we are in a good position going into 2023. Okay, let's then look at the performance in the business areas, which actually all contributed to comparable growth as well as earnings and margin improvement. Starting with electrification, where we continue to see strong customer activity, which resulted in comparable orders being up at 20%. Looking at the total picture, we saw strength in all customer segments, and all regions improved at a double-digit rate. If you take a slightly more granular look, we actually saw softness in some segments in China, which declined by 4%. In Europe, Germany stood out in the sense that orders declined. Germany is a distribution lead market, and we saw distributors bringing inventories to what seems to be a normalized going forward level. I should also mention that very strong comparable order growth in the U.S at 37%. It was good to see that pricing was a strong top line driver also in this quarter. But importantly, we now also saw volumes improving as a result of a generally strong market and easing of supply chain constraints. This helped momentum in customer deliveries also in distribution solution -- solutions, which earlier has been hampered by semiconductor shortages. In total, comparable revenues grew by 22%. But still, the order backlog increased to all time high-level of $6.8 billion as book-to-bill remained above 1. Electrification operational EBITA margin came in at a very strong 18%, the highest level in recent history. This was primarily driven by a good development in volumes and the continued strong price execution, which more than offset cost inflation. The margin expansion of 210 basis points admittedly included approximately 50 basis points tailwind from a 2 years old insurance play. Looking ahead into the fourth quarter, we expect double-digit growth in comparable revenues and the seasonal pattern to repeat, meaning a sequentially lower operational EBITA margin. Let's then move on to Motion on Slide 8. Motion's orders again came in at around $2 billion, despite the headwind from the stronger dollar. In addition to a strong underlying market, the 24% comparable growth was also driven by large orders, including the approximately $170 million in traction orders. A really good example on how we are supporting sustainable mobility in line with our purpose. Our cutting edge technology include high efficient traction converters and motors that will power more than 300 new trains reinforcing Europe's railway network. Looking at the revenue chart in the middle of this slide, you'll see a clear acceleration in comparable book growth to 23%. In addition to the continued solid pricing execution, we now saw volumes contribute to growth, helped by strong demand, improved supply chain as well as a sequential recovery in customer deliveries in China as COVID related business disruptions eased. The strong top line development was also reflected in Motion's operational EBITA margin of 17.8% as higher volumes facilitated an improved fixed cost absorption. Price increases continued to offset the negative impact from higher input costs, but also a slight negative product mix which was triggered by high deliveries of electrical motors. The margin increased by 40 basis points from last year, which is a strong outcome also taking into account that this includes about 60 basis points dilution from the Dodge divestment. Looking ahead into the fourth quarter, Motion is facing a challenging revenue comparable from last year. Hence, we anticipate a sequentially lower growth rate to comparable revenues. We expect the operational EBITA margin to decline slightly, a Q4 pattern you recognize from earlier years. Turning then to Slide 9 and Process Automation for which the underlying market activity continued to be strong. Particular strength was noted in end markets like gas, mining and refining, while there was some signs of headwinds in the more energy intense segment of the metals industry. Services was up 12%. PA's total comparable order growth of 3% was impacted by the timing of customers placing orders, particularly in the energy industries and marine and ports divisions. Regionally, Europe and the Americas both saw high single-digit growth, while AMEA declined as China orders were down 11% from a high comparable from last year. The sequential decline in the order backlog that you can see on this slide was mainly driven by FX movements. In constant currencies, the order backlog increased compared with the end of the second quarter, as the book-to-bill ratio remained above 1. Revenues grew 6% on a comparable basis with contribution from all five divisions. We did see a sequential easing of component shortages, but are not totally out of the woods yet. Looking at profitability, you can see that the operational EBITA margin reached the highest level in recent history at 15.3%, expanding 160 basis points from last year. As a reminder, we have earlier mentioned to you that turbo has roughly 180 basis points profits positive impact on the PA margin. Higher volumes and mix were key drivers, but also some benefits from earlier taken efficiency measures. It is great to see that the team's conscious efforts to improve the gross margin in the order backlog is now being realized in revenues. The margin trajectory is clearly moving in the right direction. Looking at the expectations for the fourth quarter, I note that PA had very high revenues in Q4 last year, and consequently we anticipate a low or even slightly negative comparable revenue growth rate in Q4 this year. We expect operational EBITA margin to be similar to last year's reported level even excluding the high margin Accelleron business. On Slide 10, we turn to Robotics & Discrete Automation, where overall customer activity remained at the high-level. That said, the lower comparable order growth reflects customers returning to a more normal order pattern, as they seemingly anticipate the easing of supply chain constraints to shorten delivery lead times ahead. In addition, there were some signs of customers taking slightly longer to place orders, but we still see a robust opportunity pipeline. Looking at comparable revenues, it was good to see RA return to positive growth of 12% after having been held back by shortages of electrical components and COVID-related lockdowns in China in recent quarters. While it is still no walk in the park, we would expect this improved supply situation to sustain and support deliveries from the backlog in both divisions. I'm also happy to say that the new robotics manufacturing site in Shanghai is now fully operational and volumes were transferred during the quarter. Similar to the other business areas, RA's profitability benefited from higher volumes and a positive price impact as the operational EBITA margin increased by 170 basis points to 12.8%, underlined by both divisions in double-digit territory. For the fourth quarter, we expect an even stronger growth rate for comparable revenues than what we had in Q3 supporting some sequential margin improvement. Moving to Slide 11, showing the Group operational EBITA bridge. As you can see, the comparable earnings improvement benefited from our strong pricing execution and the recovery in volumes, which more than offset the adverse effects from cost inflation. Acquisitions and divestments, mainly Dodge, as well as the impact from changing FX were slightly diluting on a Group level. Let's now look at our cash flow on Slide 12. It was good to see our back end loaded cash flow expectations for the year coming through with the third quarter cash from operating activities in continuing operations at $793 million. Compared with last year, the cash impact from better operational performance was, however, more than offset by negative movements in trade working capital. The reasons primarily being a higher buildup in inventories and less favorable change in trade receivables to support strong continued order intake and higher revenue levels. In this quarter, we had a negative cash impact of about $125 million from the exit of one noncore legacy businesses as announced in Q2. Looking ahead, I want to remind you about couple of items, which will impact our future cash flows. First, Bjorn mentioned earlier, the Kusile provision of about $325 million. This is expected to impact our cash flow in the coming quarters as we finalize the settlement. On a more positive note, we also received about $1.4 billion in cash flow from investing activities from the sale of the remaining stake in Hitachi Energy, as we expect to close the transaction now in Q4. Now you have heard us talk about being more active on the M&A side. So before I hand over to Bjorn, let me briefly walk you through what we have done here. We are actually picking up the pace. Admittedly, they are small tickets, but this is natural, since smaller tends to be easier to find and close. The important thing is that our new processes work. Through the implementation of the ABB Way, we have significantly change how we work with M&A. First, we have increased the analytical discipline for acquisitions. Then, as a consequence of the decentralized ABB Way operating model, we have transferred the responsibility to build the target pipeline to the divisions, i.e., close to the market. Each division is different and has different investment needs to secure future growth. We firmly believe that this new setup will result in more focused and accurate growth activities. We simply think that doing many smaller deals is better for the buyer. Bjorn mentioned earlier division lead acquisitions in this quarter. Motion announced their first two acquisitions in a long time. Both the Siemens' low voltage NEMA motor business and the PowerTech Converter acquisition will help respective divisions to further cement their leading market positions. And then looking at the grey dots on the right side of this slide, you can see that we have also driven minority investment through our divisional lenses. Both the InCharge Energy and Numocity majority acquisitions made earlier this year are good examples that these minority investment can later also become acquisition targets. So in summary, I feel we are on the right track to drive value creation also through inorganic growth. And with that, let me hand over to Bjorn to some final comments.
Bjorn Rosengren: Thank you, Timo. And lastly, on Slide 14, we take a quick look at the expectations for Q4. We expect the low double-digit comparable revenue growth impacted by the high-level of revenues recorded last year. The operational EBITA margin is typically lower in Q4 compared with Q3, and we expect this pattern to repeat also this year. We have had good performance so far this year. And we are likely to achieve our margin targets already in 2022. We will leave the 2023 targets unchanged. And what we mean is that any normal market fluctuation should not prevent us from achieving our operational EBITA margin of at least 15%. And with that, I will let Ann-Sofie start the Q&A.
A - Ann-Sofie Nordh: Yes, let's open up for the Q&A. And for those of you that have dialed in on the phone, you press "*" "14" to register to ask a question. And just as a reminder to secure the sound quality, please do remember to mute the webcast as your line is open for questions. If you instead want to put your question through by using the online tool in the webcast, please type your question in the field in the bottom right corner of the screen. And I will then put your through -- will put your question through from here. I already see that we have a long queue for questions. And as we really want to try and get through as many of you as possible, I kindly ask you to this time limit you to one question per person. And with that said, I think we start off with a question from the conference call as we open up the line for Martin at Citi. Are you there, Martin?
Martin Wilkie: Yes, I'm here. Thank you for taking the question. As I'm limited to one, perhaps I could ask about the energy crisis impact. You've touched on a little bit in your opening remarks. If we look at some of your customers are obviously energy intense. When we look at your process automation, you talk about strong pipeline, even though the quarter itself perhaps not so much in the way of large orders. How are you seeing this impacting your customers? Should we think that this is creating an opportunity for you that can support energy efficiency orders over the coming months, or even more of a concern that the impact of perhaps on capacity being scaled back [indiscernible] so forth, could actually lead to demand disruption, if you like in Europe, and therefore more of a negative. So we're very interested to hear how Europe [indiscernible] that? Thank you.
Bjorn Rosengren: Yes, thanks, Martin for the question. Maybe I'll take a crack at that. So first of all, I just want to say that the energy intensity for ABB itself is quite low. So this is like, half a point of our cost base. So this really comes from the customer side, as you mentioned. And I think this is really a bit of a dual situation. So yes, we have some customers, as we mentioned today, like in the metals industry. So if you think about something like aluminum smelters, and that kind of stuff, so very energy intense. And on these ones, we are seeing a little bit of slowdown. On the other hand, because our products are really driving energy efficiency on the market, we are seeing a lot of growth. I mean in some big new areas as I just mentioned that in Middle East and Africa, we had like 50% type of order growth driven by energy. And we are seeing this also in some parts of the U.S market and so forth. So I don't think for us this is like a one answer. I think overall, I think we're pretty balanced on the situation. But we of course have to see how it plays out.
Ann-Sofie Nordh: Are we good with that Martin? I realize you have more questions, but I'd kindly ask you to get back in line and hopefully we'll have time to come back to you for those. We move on to Alex at Bank of America Merrill Lynch. Alex, please. Your line should be open.
Alexander Virgo: Thanks very much. Good morning, everyone. Yes, okay, one question. I wondered if you could talk a little bit about your pricing then. You said 7% at the Group level. I wondered if you could expand a little bit around regional differences or comment perhaps around where you find that that pricing is, I guess, coming up against any pushback or any indication of any deterioration, deceleration in that regard. Thank you.
Bjorn Rosengren: Thank you, Alex. I can talk a little bit about the pricing. As you probably know, we put in a pricing strategy in each of our division already 2020. And pricing is not just lifting prices, we work on value based pricing concept and we have implemented these strategies in all our divisions. Of course, we are happy that we did it already then. So when the inflation came, I think, more or less all of our divisions was well prepared to handle that. And I think that has been done and as you can see, we have been able to offset many of the cost increases that we have had during the last years. Of course, going forward, we see there are certain parts where we see inflation, we see some increases in cost, even though it's getting a little bit better, I must say. Freights are going down, some of the commodity prices are being more neutralized. On the other hand, energy prices are going up and inflation is still there, as you see in some of the numbers. So, so far I think the divisions which is this is a division that have done that in a quite professional way. Going forward, I think that is actually dealt with all the divisions. So some of them will be more impacted, some less and they need to deal with it. So I wouldn't say there's a general picture for all ABB. We can say though, that U.S and Europe had a bigger inflation than we've seen, for instance, in Asia.
Ann-Sofie Nordh: Okay, very good. Thank you. And now we'll put through a question here that we received online. And it's from Jonathan Mounsey at Exane BNP Paribas. He says, we are likely heading into a downturn next year. I would think that the efforts to decentralized over recent years will yield a very different set of behaviors within the Group compared to previous slowdowns. In previous downturns, Group management moved to announce companywide restructuring plans. If demand softens now, how will things be different this time? And I guess this is …
Bjorn Rosengren: [Indiscernible] maybe I should answer that question. Of course, we have a strong confidence in our new operating model, the ABB Way, meaning we are moving the decision making to all our businesses. As you know, 99% of all our people are today working in our businesses. Now, we are not planning any kind of corporate activities when it comes to the size of the company. I think already our divisions have been since a half year back in working with different scenario planning, looking at different kind of softening of the market more heavily or just a little bit. And they have made their plans based on that. Some divisions are more impacted, and some will be less impacted. And they will make these decisions in the businesses. This is an operating model that works. And we feel comfortable about that going if we will go into softer times going forward.
Ann-Sofie Nordh: And we open up for next question from the conference call which should be coming from Gael, Deutsche Bank.
Gael de-Bray: Thanks very much. Good morning, everybody. Can you hear me?
Ann-Sofie Nordh: We can.
Bjorn Rosengren: We do.
Gael de-Bray: Okay. That's great. Thanks very much. I have a question on the order dynamics. I mean, if I try and adjust for seasonality, it appears that organic orders were up sequentially, maybe by nearly 5%. So it clearly defies my expectations of some sort of normalization. I mean, I heard you talking about this normalization in [indiscernible] industries, but it appears that in order segments, we've seen really nice positive development. So my question is, I mean, in which segments and in which regions in particular, did you see the greatest positive developments, sequentially speaking? Thank you.
Bjorn Rosengren: Yes, sequentially, I will start with this and thanks for the question. We more look at this year-on-year. But I think if you look at our sequential development, we are first of all seeing very strong development in the U.S., we had a very strong U.S growth, close to 30%. And also in some markets in southern Europe, we have been a very, very strong development in places like Italy, Spain, so forth. Also, U.K was this time strong. We have very strong growth in India actually already, 2 years in a row over 40% growth. So these are some of the areas. But I also -- I mean, this is, of course, orders, I understand not revenue. But we also were expecting a little bit of this happen going into the year that we will really have a strong performance in Q3 when we sort of come out from some of the constraints. So these are some of the areas and then as I mentioned earlier, we are seeing some strong OpEx demand on oil and gas. And we're also seeing strong demand in mining, industrial automation, or industrial electrification continues very strong. If you look at the trends in Motion, in particular, we have now I think, sequentially, twice over 20% growth. So these are some of the areas where it's coming through. The Motion trend, I think it's really, really looking very strong, even if we had a bit more mix now on electric motors, but that seems to be continuing on a good trajectory.
Gael de-Bray: Okay. Thanks very much.
Ann-Sofie Nordh: Thank you and -- Okay, thanks, Gael. We take the next question from the conference call. And we open up the line for Ben at Morgan Stanley.
Ben Uglow: Good morning. Hopefully well, and thank you for taking the question. The -- really, it's for Bjorn and it's more color, it's a local sense of what's going on in China. If we think about the order development during the quarter, which areas do you see is relatively strong? I'm assuming Motion was the best. But if you can just give us a feel for how -- which were the relative areas of strength and weakness? And I guess, similarly, how did the kind of base orders trend throughout the quarter? So things in -- were things accelerating in China during 3Q? Thank you.
Bjorn Rosengren: Thank you, Ben. If you look at China, you're seeing the orders in North America, [indiscernible] in Europe and somewhat weaker in Asia and China was down a couple of [indiscernible]. These are, of course mainly driven by the residential construction market, which is, as we all know, the weakest one. We feel so much stronger on the industrial part of the businesses. It varies a little bit between our different businesses where I think the one sticking out most positive is Motion actually, we'd had a very strong position during the quarter. I mean, then if you look at on the Robotics & Discrete Automation, as you know, Robot, China is our biggest robot market. And it was down a little bit during the quarter. But at the same time, we should know that we have an order book, which is up 80% on that part. So we are normalizing a little bit on the order side. I mean, going forward we are not so nervous about China. We think it is moving on and we expect not to see any huge growth number, but pretty steady going forward.
Timo Ihamuotila: Yes, maybe just comment on the base orders. They were actually very similar now this quarter. So there is no big delta on the base orders. We had in Germany, we had a bit of a delta because we have a lot -- had a large order, but this dynamic was not there regarding China this time.
Ben Uglow: Okay. Thank you very much. That’s helpful.
Ann-Sofie Nordh: Okay. Thanks, Ben. And then we open up for a question from Guillermo at UBS.
Guillermo Peigneux: Hi. Good morning, everyone. Thank you for taking my question.
Ann-Sofie Nordh: Good morning.
Guillermo Peigneux: I guess, maybe I wanted to elaborate on the segments within electrification. I guess you gave very clear country and regional picture, but I was wondering whether you describe a little bit the growth patterns that you've seen in industrial infrastructure, non-resi and residential, which I think was interesting. And then similarly, about cancellations. Do you think that there is an increasing risk in cancellations coming from any other points of the backlog during [indiscernible]? Thank you.
Timo Ihamuotila: Yes, thanks, Guillermo. Maybe I'll at least start this one. So first of all, on electrification, it's a broad based strong demand. So I would say this China topic what Bjorn was discussing is pretty much the only area where we are seeing a bit lower growth. And as you saw, we had over 20% both order growth and revenue growth. So it's really nice to see now the conversion coming in. And also actually, pretty much all the divisions are improving in performance. So the fact that distribution solution is now both revenue and getting better margin, it's actually really good situation in the electrification. Now, then if you go a little bit deeper into the market, in Germany, we had 8% growth. Base order growth was slightly negative. There we are seeing a bit of impact in electrification in Q3, but we're actually expecting the channel to normalize going into Q4. And then really the other markets are looking quite strong. And I think electrification in the U.S was even more than the 30%, if I remember correctly. So these are some of the dynamics on the really, really good performance in electrification. And we're, of course, super happy about that 18% [ph] margin there.
Ann-Sofie Nordh: And we move on with a question for Bjorn from the online tool. Nick comes from [indiscernible]. And he says, Bjorn you're known for being a turnaround guy, and it looks like ABB is now turned around. Is your work done here now? Or is there more heavy lifting that you can see and wish to progress in the coming years?
Bjorn Rosengren: Okay, that's an interesting question. But let me start with saying that before I even joined ABB, I always had huge respect for this company. I said, when I came in directly, this is a great company, it has a very strong foundation and we have good people. I was a little bit baffled about the financial performance, why we couldn't deliver in line or better than our peers. So that is an important part. I think we've taken a giant step on this side. And I think we are now coming up to the right levels. And -- but of course, this is only a start of a long journey. And I believe that ABB has much more potential than this to go forward. I'm having my time of the life. So I will -- I hope I don't have to leave the company at this stage. I hope I can continue for a while more, while we're having here a good time and the company is a great place to work for. So big respect for ABB.
Ann-Sofie Nordh: And we'll take another question from the online tool actually comes from two people. But on the sort of along the similar lines, with our intentions on how to spend the proceeds from the sale of the final 20% of power grid. How are you going to spend the cash boys?
Bjorn Rosengren: Well, you're sitting on it. Can you [indiscernible].
Timo Ihamuotila: Okay, sure. We'll go for that. No change in our capital allocation principle. So we will continue to look to execute and all of these were, of course first and foremost want to drive organic growth. And then we are expecting to continue to pay sustained growing dividend per share, value adding acquisitions, we spoke about that a little bit more how we do that on the divisional lens and then finally also share buybacks and we should have capacity as we have discussed earlier to continue on all of these areas. Of course, in the end, it is always a Board and AGM decision regarding the share buybacks, but really, really no change there. We expect to end the year with a strong Q4 cash flow and of course, adding the [indiscernible] money with a strong balance sheet.
Ann-Sofie Nordh: Very good. And we'll take the next question from James Moore at Redburn. James, your lines should be open.
James Moore: Good morning, everyone. Hope you're well. Could I come back to pricing, please? On revenue price impact, I guess from your peers that you might have been around 2% in PA and RA last quarter, maybe about 6 or mid single-digit in Electrification and Motion last quarter. And I wondered whatever the numbers were, how that sort of developed in the third quarter? And how you expect that to develop into the fourth and into next year? And to what degree average order prices are higher or lower than revenue prices?
Timo Ihamuotila: Yes, yes. So division now -- division business area based price levels, so of course, we are not disclosing [indiscernible]. So I can just refer maybe to the 7. So I would say that our shorter cycle businesses were a little higher. And then as you say, PA and RA little lower. When we look at the dynamics, what is really, really good to see is that we are actually now covering with pricing all the costs in the gross margin and a little bit more. So our cost increase from commodities has started to come down. Also the freight actually didn't have a big impact. We have salary inflation on the factories, that's understandable. But the pricing was well covering that and we had a nice drop through if I remember on the ABB level, 23% on the additional revenue. So the -- in that sense the equation is working quite well. And then how will this stick? Of course, it's depending on the demand normalization, which we have been seeing. But I would say that, that in the shorter cycle business experiences that it takes sort of fairly well in this kind of situation unless we’ve something totally [indiscernible].
Bjorn Rosengren: I can say we also look at the gross margin in our order book, which is, of course, an important measurement for the future. And we can of course, see that a good strengthening in this and we believe that the gross margin is of utmost important for any businesses to be able to develop, and that is the value you actually -- you’re pricing into your customer. So if you're looking at our order book, it looks quite promising.
James Moore: And if I may, if labor costs, labor inflation goes up, which it looks like it's going to, is that harder to pass on with pricing and requires productivity? Or can you pass that on?
Bjorn Rosengren: I mean, we look at the total cost picture, there's a lot of factors. It's from sub suppliers, its energy cost, it is freight, everything else that needs to be priced in, of course, and we have professional pricing departments now in all our divisions. And we do expect that they deal with all these kind of inflation, if it's material or if it's cost increases from labor.
James Moore: Thank you very much.
Ann-Sofie Nordh: Thanks, James. And we move to Will Mackie at Kepler Cheuvreux.
William Mackie: Hello, good morning. Thank you for the time. The question relates to supply chains and balance sheet, primarily the $1.7 billion of inventory increase in the working capital year-to-date and the nearly $700 million of trade receivables. Perhaps you could talk to how you expect the working capital to normalize over the next 12 to 18 months and specifically in the fourth quarter, and how that may relate to -- how you see the evolution of the supply chain? Thank you.
Timo Ihamuotila: Yes, thanks for the question, I was kind of expecting that that would come at some point. So when we look at the inventory, first of all, of course, the most important thing is that the inventory is line with the growth we are seeing in the backlog. And when we look at that measure, i.e. inventory relation with inventory to the backlog, it has actually stayed pretty similar during the last 2, 3 years. So around 30% type of level when we look at it on constant currency. And if you then look at our order backlog, we are actually expecting more conversion shorter term. So as we are sitting here and standing and looking at our numbers, we expect about 50% conversion now from current backlog 23. Last year, we were expecting 45 conversions. So it's actually kind of like coming closer. And in that sense, we think that is well in line and we would expect the conversion to start to happen now already in Q4 when the demand picture in our expectation will start to normalize. Now let's see how that plays out. And then we expect a strong cash year for 2023 given this continuing. And I can't see any reason why ABB's long-term net working capital to revenue would have moved to a higher level from where we have been historically. So I would expect that number to come down now. Q4, again provided, we don't have some, let's call it surprise, additional order boost and then to continue to then further normalize 2023.
William Mackie: Thank you.
Ann-Sofie Nordh: Thank you. And we have one question from Andy here at J.P. Morgan, who says can you comment on the attractiveness on the pipeline on smaller acquisitions, if that rules out larger deals? Or are all large deals -- no, where all deal sizes on the table?
Bjorn Rosengren: Thank you. Maybe I can talk a little bit about the acquisition side. I think we've been clear that we look at each of the division and we say stability and profitability to full growth. About 70% of our divisions are now in what we call growth mode and when we talked about growth is organic and acquisitions. So we are seeing more and more deals taking place at the moment. And we expect this, of course, to accelerate 5 to 10 per year is where we think is a reasonable level, of course, driven fully from the divisional side. And they are doing it of course to strengthen their competitive situation in -- into the market. So it can be technology or market share in certain areas. The size of these deals are quite small at this, which is natural when it's driven by the divisions. But we could of course, also see, I think, at this stage that ABB now is coming in to stable and profitability phase may be somewhat bigger. But I'm not saying that we are going to go into any corporate driven by business area driven if there is, for instance, a smaller division size that could be added on to the business if it strengthen the business area overall. So I think we have a pretty good control over this and I think it's a good process at the moment. So we will experience many small to medium size and maybe some little bit bigger.
Ann-Sofie Nordh: And then we'll take another question from the online tool, which says does the full year '22 margin outlook for at least 15% exclude Accelleron for full year?
Bjorn Rosengren: Yes, I can answer that one. It's very important when we say that if we will reach our target for this year about 50%, then we exclude the Accelleron for the whole year. So that is important. And that Accelleron has approximately 0.2 percentage points impact on the Group.
Ann-Sofie Nordh: And then we'll take another question from the conference call as we open up the line for Joe Cohen. Joe, are you with us?
Joe Giordano: I am. Good morning.
Ann-Sofie Nordh: Good morning.
Joe Giordano: I still struggle with what I see in like, larger term macro kind of indicators with what companies are saying with short cycle demand. I mean, when I look at orders, you're looking at things like ASM [ph]. I mean, it's in contraction mode, yet companies seem to be talking very positively about short cycle. When you look at your own results here, how do you square that? Are you feel that ABB is significantly outperforming what your competitors are doing? Is this feel like some sort of inevitable kind of one has to meet the other? Or do you expect that, like you can just continue to grow, while the -- while broader indicators suggest that the markets are going the other way.
Bjorn Rosengren: Maybe talk a little bit about growth and we talked not too much about the expectation going forward. But yes, we have -- I mean that seven quarters with book-to-bill ratio, which is about 1. So we've seen good growth and the last quarter on very high levels. Of course, now when also when revenues start coming out in the right way, we should see a normalization I think of the order pattern going forward. This will be too early to say yet, but we look at different kind of scenarios and we have to play with that. I think ABB is keeping itself well up in relation to competitors. I don't think we are outperforming probably anyone. I think we have a good way to execute and operate and well-positioned when we look at the global trends. So we are where you should be, for where we should see growth in the coming years. And that is one of the reason also why we lifted the growth targets over a business cycles to 4% to 7%, because we believe that we are in good markets. Then short-term, of course there will be ups and downs in the market has always been and we need to deal with them. And the divisions need to deal with them in a professional way. And we do believe that the operating model we have today will do that. So, so far, I mean, it's -- we haven't seen year-on-year in Q3 any changes in the order or behavior in the buying pattern. But of course we read the news, we see what's taking place in the world they're not -- we of course expect that everybody else that going forward, we ensure there's going to be some difference what we have seen during the last 6 to 12 months.
Ann-Sofie Nordh: And unless I remember only, I’m a little bit -- we can tag on to the question of how has Q4 started because I don't think anyone has asked it yet. So I'll put the question to you.
Bjorn Rosengren: Yes, now we continue to see growth, even though we expect a more normalized order pattern during the quarter.
Ann-Sofie Nordh: Right. Thank you And a question from Simon at Jefferies says, can you comment a bit on the end markets in discrete industries where you’re seeing customers taking longer to place orders?
Bjorn Rosengren: Yes, I mentioned that a little bit before. And that's very much related to the robot, Robotics & Discrete Automation business. You also probably you know that these are the two divisions where we have had the biggest challenges when it comes to supply chains and semiconductors parts. So we have during the time built up a huge order book. So that needs to be executed. So we have thousands of robots, and we have a lot that determines that need to be executed during next quarter, but also into next year. I mean, I can just mention that our order book here had from 1 year been 80% up. You can imagine this is of course not normal market trends. So there is of course, a lot of orders laying there, which was also placed because of our limited possibilities to deliver. So of course that need to be delivered out. And then we of course have to build on the market trends when it comes to automation in the market, which we believe are positive.
Ann-Sofie Nordh: And we have actually one, I think final question here coming through on Electrification and the comments about normalization on distributor or inventory levels. How much of a risk, if any, it is dynamic for demand in the next quarters, given that we say that it seems to be completed by the end of Q3?
Timo Ihamuotila: [Indiscernible] that this comment was specific to Germany and then maybe hand over to Bjorn.
Bjorn Rosengren: Yes, this is, of course, we've seen that effect in Germany, especially in electrification, where most of the businesses that have been through our partners and the discussions with them, there is certain normalization of their inventory levels. Talking to our Electrification business, this is more or less completed now and we do expect more a normal order pattern within that industry going forward. This is very specific for Germany. Rest [ph] on the market, as you’ve seen on the electrification, it's -- besides China, we've seen, of course, very, very strong growth, not least in North America.
Ann-Sofie Nordh: Yes. And then we actually have one quick last question from the conference call. It comes from Daniela at Goldman Sachs. Daniela, your line should be open.
Daniela Costa: Thank you very much. Good morning. So following up on the commentary regarding margins and growth going forward, I guess looking from here to '25, you just said over 15% remains the target. But you seem to lean the commentary in the call a bit more towards growth? Is it fair to say when we think about earnings growth going forward, are there any places where there's significant margin improvement potential left or the opportunity is more the growth side?
Bjorn Rosengren: Thank you, Daniela. It's a good question. As I mentioned here is that our approach is cemented to stability, profitability for growth. And you’ve seen more and more division moving in, where they have what we call the growth mandate. That doesn't mean that they're not driving their margins because they continue to improve this and that is part of it. But of course, they will also drive growth more stronger. And today, about 70% of our divisions have what we call the growth mandate. But we still have a number of divisions that are not meeting their expectations for financial performance. And they are focusing, of course, to getting the levels to the right level before they really push these kind of businesses. Of course, we are happy to be on the 1 year early with reaching the target. But for us, this is just an in between target. We believe that ABB has the great potential. We will continue to drive that and for us, it's important to stay above 50% despite different demands in the market, if it gets tougher or not. So we need to make sure that the business has continued to develop and -- but also protect the margin in downturns. So, if it would be a tougher time next year, we do expect that they also should deliver on that. But we have no roof [ph], so they will hopefully continue to improve.
Daniela Costa: Very clear. Thank you.
Ann-Sofie Nordh: Thank you very much. Thanks, Daniela. And with that we closed the session. We thank you very much for joining us today. And we will see you in about the quarters time.
Bjorn Rosengren: Thank you. Bye, bye.